Operator: Good day and welcome to the New Residential Second Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. . I would now like to turn the conference over to Kaitlyn Mauritz, Investor Relations. Please go ahead.
Kaitlyn Mauritz: Great. Thank you, Betsy. And good morning, everyone. I'd like to thank you for joining us today for the New Residential's second quarter 2021 earnings call. Joining me here today are Michael Nierenberg, Chairman, CEO and President of New Residential; Nick Santoro, our Chief Financial Officer; Bruce Williams, CEO of NewRez; and Baron Silverstein, President of NewRez.
Michael Nierenberg: Thanks, Kait. Good morning, everyone. And thanks for joining us. The second quarter for our company was a very good one. While the markets are challenging, we maintain book value and created stable earnings. When you think about our actual book value, it grew quarter-over-quarter before our capital raise related to the caliber purchase. Our core earnings were in line with Q1 taking into account $0.03 in dilution. So if you take away the dilution our core earnings roughly $0.34. I feel very strongly that our company is positioned extremely well for low interest rate environments. The Caliber acquisition which we announced early in the quarter is a game changer for our company. And quite frankly, the industry. We are now in a position to compete against anybody. We will be able to offer many different products to homeowners across all of our channels, further helping with the dream of homeownership. The excellent leadership of both companies, the personnel of both companies, the technology on the Caliber side and the sheer scale of our business will enable us to drive results for shareholders for years to come. While we believe that interest rates will rise to the extent they rise slowly or stay around these levels, our production machine coupled with the excellent we capture rates in the combined company will enable us to grow our portfolio of MSRs. We are super excited about our operating business. On the investment portfolio side, the team continues to do a great job. Our financing business has never been better. We have essentially moved most if not all of our financing away from daily mark to market other than agency MBS. Our call businesses is back to pre-COVID levels and our EBO business continues to grow. Essentially going forward with this level of rates we will focus on our own what I would call proprietary portfolios call REITs, EBOs and MSRs. We will remain patient on capital deployment with this level of rates and where credit spreads are in the markets today seeking to deploy capital opportunistically.
Baron Silverstein: Thanks, Mike. Good morning, everyone. Turning to slide 27. For the origination division at NewRez, we ended the second quarter with 75.4 million pre-tax income and funded volume of 23.5 billion. Some of the themes in the broader market such as increased competition, ongoing margin pressures impacted our performance during the quarter that we continue to deliver across all of our channels on a number of aspects such as growing recapture, and our product set. Besides these market headwinds, as I just mentioned, we continue to build and grow our business and are well-positioned to take advantage of future market opportunities. For example, we've grown our direct to consumer business with record funded volume of 6.4 billion, which is a 12% increase quarter-over-quarter in our sixth consecutive quarter of increased production. We announced last quarter the relaunch of our non-QM business which continues to gain momentum and we locked over $100 million in June alone. Our non-agency jumbo businesses back to pre-COVID levels with over 250 million in quarterly lock volume and we also added our 19th JV partnership, and we have additional JV announcements coming into the third quarter as well. The other important point is gain on sale margins. While gain on sale margins have decreased 12 basis points quarter-over-quarter we're beginning to see a flattening of the decline of margins. Our direct to consumer business margins dropped 10 basis points from March and it remain range bound in the low 300 for the past three months including July. For our JV channel margins dropped 25 basis points in June, but flattened in July. And this is the first reduction we have seen since 2020 and it's primarily driven by the change in purchase volume from refinance volume. Margins in wholesale channel drop from March to April but also have remained range bound for the entire quarter, including July. Similar theme in our corresponding channel as margins pressured by approximately 12 basis points in the second half of the quarter, and a flattening in mid June and July. However, given the size of our corresponding channel, which is 60% of overall volume, it's a significant driver and quarter-over-quarter margin decline. And as mentioned, given interest rate change in July, and the removal of the FHFA adverse market fee, we've already seen ability to take back some margin and are looking forward to that in the months to come. The last comment on this slide is we're really excited about the opportunity to combine the new raise in Caliber platforms. Michael talked a lot about that. We believe that two companies will have significant benefits that accelerate our objectives goals for both origination and servicing efforts and continue to gain market share. Turning to slide 28 and I've continued to say this for the past few quarters, but our DTC or direct to consumer channel remains a huge focus for NewRez and NRZ and continues to present a long term opportunity for our company. Our process changes have taken hold and that can see seen in our increased fundings but also our refinance recapture statistics with a 44% increase quarter-over-quarter. While we have improved our churn times enhanced our scale and capacity, the importance of our brand awareness and recognition to further build customer loyalty are also critical to our success. That's seen by a 25% increase of NewRez originated refinance recapture, and a 13% increase in NewRez originated refinance recapture. In April, we launched our new brand and I invite all of you to visit NewRez.com to see our improvements in our digital marketing consumer experience. The message being as we get better connecting to our consumers, our DTC platform will only continue to grow. Turning to slide 29, and just some quick highlights on the other channels our joint venture business continues to perform well in any market environment and originated a billion dollars for the quarter was flat quarter-over-quarter even with higher interest rates. In addition, we saw return to normalization with purchase transactions which comprise approximately 80% of funded volume versus 54% in the first quarter. And as I mentioned before, we announce our newest JV, joint venture mortgage company Coast One Mortgage LLC in partnership with  companies, which is our 90 JV partnership, and we welcome them to the NewRez family. In our wholesale channel, we continue to grow our platform by not only adding new customers, new broker relationships, and building out our branches but also focusing on non-agency products, including non-QM which comprise 20% of our overall market volume in the second quarter. In our corresponding channel, we continue to add new customers approximately 40 with a focus on best efforts where we can add additional margin, also creating operational efficiencies to improve customer relationships and add new products such as non-QM through our non-delegated clients. So when I think about our performance in the second quarter both in terms of funding units and other metrics we use to evaluate our performance, we continue to see great progress. Turning to slide 30. For the servicing division, we ended the second quarter with 32 million of pretax income a 2% increase quarter-over-quarter. We also added a table showing historical servicing pre-tax income which has proven to be a balance to the volatility in origination PTI and our servicing business is a core strategy for NewRez overall. We ended the second quarter with aggregate servicing portfolio 306 billion and approximately 1.7 million customers representing modest growth quarter-over-quarter and then on a cost per loan continue to increase slightly, which was impacted based upon the COVID impacted homeowners as we continue to achieve loss mitigation solutions and retain their home. On the last slide 31 since the CARES act was first enacted, we've helped over 250,000 homeowners navigate the COVID pandemic, over 160,000 loans or resolve their forbearance and remain active in our portfolio and our active forbearance about 2.2% versus 3.5% in the first quarter. Our focus remains to work on every possible method to engage these homeowners and all available loss mitigation programs including a series of newly introduced Fannie, Freddie and Gennie modification programs. Our numbers are in line with the industry and continued good work but more to do to help homeowners. On that back to Kait.
Kaitlyn Mauritz: We will open the line for questions. 
Operator: We will now begin the question and answer session.  And the first question comes from Kenneth Lee from RBC Capital Markets. Please go ahead. 
Kenneth Lee: Hi, good morning, and thanks for taking my question. Just one on the gain on sale margins. You saw some improvement within the JV and the DTC channels. Just wondering if you could just elaborate and talk about what's driving that improvement. Thanks.
Michael Nierenberg: I mean, we've seen a flattening is the message is delivered. So less if we did see a decline, as I mentioned in each one of the channels in our TV channel margins dropped 25 basis points in June but they've flattened and we hadn't seen any reduction in our JV business at all since 2020. So in our DTC business we've also seen a reduction as I mentioned, 10 basis points from March, but they remain range bound for the last three months, including July.
Kenneth Lee: Got you. Very helpful. And just one follow up by if I may, in terms of the estimated 2021 origination volumes for the combined Caliber and NewRez. I am wondering if you talk about some of the key assumptions you've had there driving that estimate. Thanks.
Baron Silverstein: Right. So if you just really need to look at each of the underlying channels that make up our estimate, which you can see on slide, I think it's on slide 11, on slide 10. So on the retail business and the JV businesses, there is no overlap. So in our view that's 100% accretive. On the DTC business, it's the same. They are managing their servicing portfolio and we are managing our servicing portfolio. And then you look at the third party channels based upon our analysis, there is very limited overlap and actually that was a significant pleasant surprises we looked at all both of those third party channels, about the accretive nature of the business. So for example, Caliber is in, direct to broker and NewRez is not and then the overlap between both of the channels has been very limited. And also on top of that their focus and our focus, meaning NewRez is focused on the type of customers in our view is accreted. So our view is from our current projection is really based upon our view of interest rate markets for the remaining five months of the year and our view of our pro forma of the overlap between the two companies, as I just described.
Kenneth Lee: Very helpful. Thank you very much.
Michael Nierenberg: Thank you. 
Operator: The next question comes from Bose George with KBW. Please go ahead. 
Bose George: Hello, good morning. Actually, first just wanted to ask about the EBO opportunity. In that slide, where you give the portfolio size that it's 700 million is that the portion of EBOs that you've already purchased and it's on your balance sheet already. And then just going forward can you help us size it? I mean, you've got 50 billion of Ginnie Mae MSR that seems like a sizable opportunity and we just saw your Cooper book 180 million of gains just this quarter. So just curious what we could see from that opportunity.
Michael Nierenberg: What about, so the 700 million we have is on our balance sheet. When we think about the broader opportunity between origination that we believe will go forward. I mean, you're obviously in a great credit cycle. However should things change, there will be some potential opportunities to buyout loans and redelivering, the EBO business, I think in some of the numbers we quoted and having a $50 billion, Ginnie Mae MSR portfolio it's hard to tell exactly what that number is. So if you think about that 50 billion you match it up to where Cooper is or where Penny is, I think the way to probably think about that is we're not the biggest CDMA originator. However, I do think that over time will likely grow our Ginnie Mae exposure. So therefore, that 700 million could increase pretty dramatically over time. But again, I think a lot of it depends on where we are in the cycle and what's going to happen with the overall the credit of the homeowner. 
Bose George: Okay, so for now, this 700 million you've repurchase the 90 day delinquent stuff out of that debt pool. So to the extent there's more, it's basically if more flows into the delinquent bucket, is that right? 
Michael Nierenberg: Correct. And that 700 that's on our balance sheet there's steady flow that we're actually buying out. The numbers are a massive on an overall weekly basis. But there is steady flow that continues to come on to the balance sheet. 
Bose George: Okay, great. Thanks. And then, actually just a follow up to the question on gain on sale. In that footnote, you say that the gain in the DTC and JV excludes the recapture of MSR. So, I mean, is that just saying that the gain essentially would have been 100 basis points or whatever, higher? But instead, that piece was just flowing through the servicing to replace the last MSR?
Michael Nierenberg: Yes. That is correct. So our number of booking differently as a read prior to being in the operating business that we capture is in our MSRs and other on the mortgage company side if you look at what Cooper does, their MSRs are in their overall origination business.
Bose George: Okay, great. Thanks. And then, actually one last quick one can you give an update on your book value quarter-to-date?
Michael Nierenberg: It's pretty constant. As of today it’s pretty similar to where we were prior to the end of Q2.
Bose George: Okay, great. Thanks.
Michael Nierenberg: Thank you. 
Operator: The next question is from Eric Hagen with BTIG. Please go ahead.
Eric Hagen: Hey, thanks. Good morning. The servicing book looks like a mix of higher coupon season loans. And of course, there's a fair amount of new loans that you guys have originated over the last year or so with lower coupons. I'm wondering how the recapture rates and the strategy around targeting certain borrowers differs depending on the seasoning and note rates and such, especially in environments like right now where rates are low. 
Michael Nierenberg: Baron, you want to take that?
Baron Silverstein: Yes. So I mean certainly we are targeting based upon a number of different factors, including just what we call trigger leads, or leads based upon consumers that may have interested either refinancing or even looking to buy a home. But our biggest strategy from a marketing perspective continues to be in the context of borrowers that are in the money. And that is our focus. So we look at if you look at current coupons as of today, based on the overall size of the NRZ, MSR portfolio we're talking about approximately a million customers that we continue to target. 
Michael Nierenberg: Eric, the one thing I would point out when you look at where we were a year ago to where we are today, not only with the team on the NewRez side but also with the team that Sanjiv assembled on his side. I think one of the slides, I point out data and analytics, and technology gains, I think those couple areas as we continue to get better on data and analytics, and really identifying a homeowner who's ready to refinance, and that's what you're seeing in the NewRez numbers going from 20% to 40%. It's going to add a huge lift. So as I look at our core earnings going forward, and I hate giving guidance but we are I really do believe our higher recapture rates, anticipated slow down in speeds if we end up in a higher rate and environment are going to add significantly to our core earnings, and an overall value of the company. 
Eric Hagen: Got it. That's helpful, thanks. Then one on the just the capital structure. I mean, considering Caliber has no unsecured debt. I'm wondering how you guys think about that capital structure and the appetite for additional leverage as you guys combine the platform's? 
Michael Nierenberg: I think when we look at our capital structure from a parent level, or down to the what I would call the operating subs, we have not put on a lot of what I would call corporate debt while saying that as the operating businesses continue to grow we'll continue to evaluate the best way to fund the business currently as a result of the equity raise we did in April and where we sit with coming out of this deal with billion one of cash and liquidity and we expect by the end of Q3 depending upon what we do from an investment standpoint we expect that 1.1 to be anywhere from 13 to 15. We really don't have a need for more cash or liquidity right now. But we'll always evaluate based on where we think the markets are and what they're going to give us. Having more capital I know people shareholders hat it particularly because it's a drag on earnings is never bad thing. It'll give us the opportunity to actually be opportunistic from an acquisition standpoint as well as protect our balance sheet in the dark days like we saw in March of last year. 
Eric Hagen: Got it. That's helpful. Thank you very much. 
Michael Nierenberg: Thanks Eric.
Operator: And the next question is from Trevor Cranston with JMP Securities. Please go ahead. 
Trevor Cranston: Hey, thanks. Actually a follow up on the question about the improved recapture rate this quarter. Obviously, there was a nice spike and that's something you guys have been really focused on. I was wondering if you could maybe comment more specifically on what you think sort of came together that allowed that to grow so much this quarter and how we should think about the potential for continued improvement in that rate sort of in the near term. 
Michael Nierenberg: I don't want to ever have an excuse, but I think we're just getting better and better. I mean we have very good focus. The person that's leading, and we, quite frankly, we brought in some really great marketing people on the NewRez side and as our marketing folks and we get better it's only made us a better company and improved our recapture rates. I like to go back to 2018 for a second. If you think about acquiring Shellpoint 2018, I think their production numbers about $7 billion in 2018, when you look at the Caliber acquisition, the combined company is going to do $170 billion. So we clearly have growing pains in between 2018 and now, quite frankly, but we're just getting better and better. So when I look at the prospects of where I think we can go, and that's why I said, I think we're ready to compete against everybody and we're just going to get better. And we have to get better because we have a large MSR portfolio and if you go back to one of the comments I made and point down X% higher and recapture is going to lead to a couple cents more in core earnings and slowing down speeds, we want to get back to where we're printing $0.40, $0.50, $0.60 in core earnings and the book value continues to grow and the stocks back to $15 to $20 which is kind of where it should be now. But that's what we're focused on.
Trevor Cranston: Got it. Okay. And then on the SFR business you talked about expanding that operating platform and bringing in some new management to run that. I guess, as you think about growth of that strategy in particular where do you anticipate capital coming from to fund continued growth of that over the next couple of years? Is it coming from another area of the portfolio which you're anticipating maybe being more of a runoff motor? Or how should we think about that?
Michael Nierenberg: It could come from other areas of the portfolio. The financing of that asset in the capital markets is pretty efficient at this point and again, I think Eric asked a good question, currently we have 1400 homes and we have a little bit under 100 million in equity. So when you think about our balance sheet expecting to end the quarter in Q3 at 13 to 15 of cash and liquidity, depending upon what we, what our investments look like during the quarter, we think we are plenty capital to continue to grow without the need of any additional capital and again if we think about unsecured debt or the capital markets to the extent that we need capital into very large portfolio then we would consider either a debt deal or preferred dealer something like that. 
Trevor Cranston: Okay, got it. And then one last one just to clarify on the early buyout opportunity. When you mentioned the size of the servicing portfolio and everything, does that include Caliber or does bring in the Caliber portfolio change the sizing of the EBO opportunity in any way?
Michael Nierenberg: Yes it does. It does not include Caliber. With Caliber, obviously, the opportunity grows exponentially. 
Trevor Cranston: Great, appreciate the comments. Thank you. 
Michael Nierenberg: Thanks Trevor. 
Operator: The next question comes from Kevin Barker with Piper Sandler. Please go ahead. 
Kevin Barker: Good morning. Could you give us a update on maybe what do you think earnings would look like for Caliber versus your previous expectations when the deal was announced? I believe you estimate somewhere around $295 million in operating income in 2022. I mean, do you feel like Caliber still on that runway or do you think there's anything that may have changed just given the competitive dynamic in the origination market.
Michael Nierenberg: Hey Kevin. I think here's a couple things. And the one thing that we haven't discussed on this call are synergies. When I look at the financing of Caliber, and Sanjiv and his team and our team have had discussions about this I think realistically from a synergy standpoint and forget about gain on sale and compress margins, or where we're going, I think, synergy wise, from the financing alone, we think we're going to be able to pick up something around $50 million a year from a financing perspective. So that's why we highlight a little bit in our in our investor deck about the financing side. We think overall synergies are going to be something between $150 million and $200 million on a per annum basis. So when we think about that, we think about where gain on sale margins are, when we underwrote the deal, we size it to ‘19 or ‘18, ‘19 kind of gain on sale margin. So we're in line with how we're thinking about that. And I don't see any change of where we're going in ‘21 or ‘22. I actually think with Sanjiv and Baron and the complimentary teams on both sides and bringing this thing together we're only going to see more lift and hopefully higher earnings as we go forward as long as we going to get better.
Kevin Barker: Could you unpack that a little bit more? I mean you said $15 million in synergies due to financing. Is that on top of the 36 million that you laid out originally? And can you help us understand did you say 150 to 250, or 150? 
Michael Nierenberg: I think the synergies, what we're going to be able to do between the financing side and overall integration and where we're going with technology it's going to be something between $150 million and $200 million on a per annum basis. So if you relate that and think about that with 450 million shares outstanding, it's a pretty sizable increase to core earnings and earnings overall for the company. Part of that is going to be around synergies. Part of that is around financing. And part of that is going to be truly around other things that will identify within both organizations. It could be space. it could be there's lot of different things that we continue to work on that.
Kevin Barker: We have a market similar to 2019, 18/19, like you described, and then add on the synergies of 150 to 200 above the originally stated 36 million probably going to have potential operating income from Caliber. North of 400 million is that your expectation on a normalized origination market or something more. 
Michael Nierenberg: I think your initial assumption around Caliber's operating income is pretty consistent with where we go, what we believe, because again, the deal was underwritten to 18/19 numbers. And on top of that your 150 million to 200 million in total synergies that 36 plus another 150 to 200. But just think about 150 to 200 and total synergies. That's kind of the math on how we get to much higher core earnings.
Kevin Barker: Okay. Thank you. That's helpful. Thank you.
Operator: The next question comes from Stephen Laws from Raymond James. Please go ahead. 
Stephen Laws: Hi, good morning.
Michael Nierenberg: Good morning.
Stephen Laws: Good morning. Just follow up on the SFR sides targeting mainly southeast, that's a pretty competitive sector and environment. Can you really talk a little bit about your sourcing? Can you quantify it all maybe that capital allocation or unit growth or any metrics, we can kind of look to as far as 6 or 18 month targets or anything like that?
Michael Nierenberg: I think we'll have more to come, Stephen in a couple of weeks as we make a broader announcement including a new brand that we have ready to roll out with. Currently we are doing, I would say 50 to 70 units a week. We have a broad sourcing team working on this now. We also have technology partners that we're working with on the operating side and we have a pretty vast network. If you think about NRZ as a parent we have we bought, I guess a couple years ago, we bought a company called Guardian, which is a property preservation business. Obviously, that's been a very good acquisition because that works alongside our SFR business along with third parties who are running some of the operating sides but we put out in our deck that we expect over the next number of years to get to 5 billion of acquisitions. I think you just saw  announced a deal with . We would gladly partner with one of the large home builders out there, which I think would help us jumpstart certain initiatives that we are thinking about. So I think there will be more to come. And again, I don't want the court to lead the horse, but we have the new management team, who work very closely with us. They will come in with, they have a plan, they'll come in with a proper headcount, which will enable us to truly grow the business over time.
Stephen Laws: Appreciate the color. And as a follow up question, if we could switch to the calls and potential gains there in 656 for the quarter. Can you talk about the how much accretion or the ROE on that are expected as you fully refinance those loans that were called and then how do we think about it I know, that's going to be lumpy but maybe on an annual basis, in 22 and 23 how do we think about the call volumes and potential upside on the returns there over the next couple years? 
Michael Nierenberg: So I'll let Nick comment in a sec but I mean it is a little bit more episodic. I do believe, though these loans that have been stuck in these pipelines for many, many years are starting to come out. So when we look at deals that we've issued, that go back over the course of the past few years, for example, in non-QM RPLs, NPL some of the call activity was related to that. Some of its related to the legacy side. I think, just for simple math that this last result we had was, quite frankly, fantastic around our cal business. And I'll let Nick talk to that. But I think the way to think about the business, if we get back to a steady state where we were early on, and probably 18/19, where we'll call in about 300 million a quarter. I would expect us to do at least that as we go forward. I'm hopeful anyway. And then the math has generally been around a couple points. This last one was a much better one. But I factor in, on average, about two points. And, Nick, I know if you want to talk about the last one. And just one other thing about that we didn't securitize, we announced a large sale of loans which is I think, 800 million or 900 million out of that billion one or so that we did in the quarter. So it wasn't securitized, it was actually sold in loan format. The return on equity was huge. And Nick, kind of do whatever color you'd like. 
Nick Santoro: Sure. So for this quarter, we generated approximately $0.03 from the call strategy. The mix of income on calls is a little bit different from what occurred in the past where we saw more income coming from the accretion side given where our portfolio is today more income is going to come from securitization side. And as Michael mentioned, we did do a loan sale in the month of July. That will result in quarter earnings in the third quarter. So it's not reflected in the second quarter and you can see that when you look at our P&L from the loan mark, that we actually recorded in this quarter. 
Stephen Laws: Great. Nick and Michael thank you very much.
Michael Nierenberg: Thanks Stephen. Stay well.
Operator: The next question comes from Henry Coffey with Wedbush. Please go ahead. 
Henry Coffey: Good morning and thanks for taking my call. Some small questions first. And then one larger question. The JVs what's the incentive of the companies for joining up? Is it, are some of them home builders are most of them independent operators maybe you could give us some thoughts around that. 
Michael Nierenberg: Yes. Most of our JV partners are realtors, across the entire U.S. And it really comes down to those owner operators looking to basically monetize on mortgage origination income through their retail sales force and that's really what it comes down to. They do the joint ventures to basically work through the rest of the rules from any kind of lead references that we pass through to our loan officers. 
Henry Coffey: Alright. Are these companies that are just generating doing lead gen for you or –
Michael Nierenberg: No. These are just real estate brokers. They are effectively working with consumers looking to buy their home. And they basically make referrals to our loan officers or their partnership loan officers within our joint ventures and we help those consumers buy their office and this partnership directly with their real estate offices. 
Henry Coffey: And then on the wholesale front any comment on where gain on sale margins are going sort of in July and August given that we have seen some stability there as of late. 
Michael Nierenberg: Yes. I mentioned that we've seen stability for basically the quarter. We saw a drop from March to April, and we've seen basically stable margins and our wholesale channel for the rest of the quarter including July. 
Henry Coffey: And then, Mike, for you a big question. All of this is going to take time. I mean, if you had one primary ingredient that you could accelerate, it would be, “time” because it takes time to put the businesses together. It's going to take time for interest rates to go up, etc, etc. You are earning your dividend by a healthy margin and what is the logical trigger for seeing an increase there? 
Michael Nierenberg: Henry, it's a great question. I think that when we take a step back and I look at our company today and I try to think about I'm looking at our equity price. So as we're going through this call, I am writing down some notes here. Our equity we announced the Caliber deal, we raised capital around 10.10, Stock gets back to 11 and change. We announced book value now, give or take at 11.30 after everything. We took a base hit on our equity which goes back to I think in June when you look at where it's when to harvest came out, and now it's lower book value in and did a capital raise. As I think about where we're going with the company we have a great-great operating business, that'll be second to none, I'm very confident to that. When you talk about time, I don't want to rush time in life and go into nor does anybody. We want to rush through the integration. So we get through and we have an operating business that's second to none. And both teams Sanjiv's and his excellent management team, and Baron and Bruce, and our excellent management team has done a great job so far getting us to the place when we have the final close that we want to hit the ground running. But back to my thought here, when you look at us, we have this operating business that we get no credit for. We have a lot of proprietary channels, I think in our business, whether it be call rights. We talk about EBOs and the gain his team has done but again, we're not getting properly valued, I think as it relates to the operating business, or on the investment business where I think the investment business can go. So when I think about the increase in recapture, and I look at forward earnings that $0.40, $0.50, $0.60 as we go forward, and I'm not going to short that now because we all have a lot of work to do. And I look at current trends and amortization the big question for us is how do we think about our dividend policy quite frankly. We have an operating business, certain operating businesses pay dividends, others don't. We have a rate that's paying $0.20 right now. And it's a very good question. What like to see our dividend increase? Absolutely. Do I think we'll get there? Absolutely. We want to get through the Caliber closing, then we'll reassess everything and then we'll hopefully come out with some news that makes everybody happy. But I think it's a really interesting time for us as a company and how we think about our investment company and the operating businesses and the portfolios that we have and quite frankly get valued properly for who we are and the hard work that the teams put in to drive shareholder results. So we'll get there. It's a question of when. I don't think this is that far out in the future. And then the question is really what is our dividend policy look like. 
Henry Coffey: Is this something we can harass you about in the fall or is something that we should wait till next year when you really digested everything and Caliber's up and running and you have a bigger sense of what the 2022 is going to look like? 
Michael Nierenberg: I think you can harass me anytime.
Henry Coffey: Okay. 
Michael Nierenberg: So our goal in great growth and I bring up our stock price because I'm very frustrated with where we're trading with an 11.40 book or 11.30 book and the results that we put up. So I want our stocks if we get properly valued there's no reason that our stock shouldn't be when you think about the sum of the parts when we took that slide out that we shouldn't be between $13 and $15 right now but we're not. And we got to do our job on our side to get the stock there. So we'll do all we can. 
Henry Coffey: Great. Thank you. 
Michael Nierenberg: Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Michael Nierenberg for any closing remarks. 
Michael Nierenberg: So thanks to everybody always for your support, your questions. I would like everybody to think about the results, the book value that we continue to drive and where I think we're headed. Stay well, have a great rest of the summer. It goes quick, Henry, don't rush time and look forward to catching up with everybody soon. Take care. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You  may now disconnect.